Operator: Good day, ladies and gentlemen, and welcome to the Splunk, Incorporated fourth quarter 2016 financial results conference call. At this time, all participants are in a listen-only mode. Later, we will be conducting a question-and-answer session, and instructions will follow at the time. As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Mr. Ken Tinsley, Corporate Treasurer and Vice President of Investor Relations. Sir, you may begin.
Ken Tinsley - Corporate Treasurer and Vice President of Investor Relations: Great. Thank you, Crystal, and good afternoon, everyone. With me on the call today are Doug Merritt and Dave Conte. We issued a press release after close of market today, and it is posted on our website. Additionally, this conference call is being broadcast live via webcast, and following the call an audio replay will be available on our website. On this call, we will be making forward-looking statements, including financial guidance and expectations, including our forecast for our fiscal first quarter and full year 2017, transaction, product, and services mix, planned investments and trends in our operating model resulting from our investments, trends and momentum in our business, including international revenue. These statements reflect our best judgment based on factors currently known to us, and events or results may even differ materially. Please refer to documents we file with the SEC, including the Form 8-K filed today with today's press release. Those documents contain risks and uncertainties and other factors that may cause our actual results to differ from those contained in our forward-looking statements. These forward-looking statements are being made as of today, and we disclaim any obligation to update or revise these statements. If this call is reviewed after today, the information presented during this call may not contain current or accurate information. We will also discuss non-GAAP financial measures which are not prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of GAAP and non-GAAP results is provided in the press release and on our website. So with that, let me turn it over to Doug.
Douglas Merritt - President, Chief Executive Officer & Director: Thank you very much, Ken. Hello, everybody, and welcome to the call. Having just flown in from our Annual Sales Kickoff, I'm really excited to be talking to you all today about the opportunity in front of us. As a company, we truly delivered in FY 2016, and our field team's enthusiasm heading into FY 2017 couldn't be higher. It's just awesome. Of course, their energy originates from a great Q4, where we exceeded our plan and delivered $220 million in total revenue, up 49% over last year. For the full year, revenue totaled $668 million, up 48% year over year. This comes on the strength of our existing customers expanding their deployments and by adding a record number of new customers. I'm so proud to be welcoming more than 600 of them to Splunk from our most recent quarter alone. I'd also like to say thank you to our partners from around the world. For the first time at Kickoff, we had the pleasure of hosting hundreds of them, and it was inspiring to witness our collective teams driving alignment that is so critical to capitalizing on our mutual opportunity. I can speak for every employee and for our partners in saying that we are fired up and our customers are our number one source of inspiration. I could spend all of our time talking about our Kickoff, but there are other key areas I'd like to cover as well, starting with some observations 90 days in as CEO. Then I'll update you on our progress with customer adoption and expansion across our platform and key market groups. A quarter into my new role at Splunk, I'm sure you can tell how proud I am to be a part of such an amazing team. I couldn't be more bullish about our opportunity, and I am confident in our long-term strategy. What makes me so excited is simple. The amount of data out there is exploding and is predicted to continue to do just that. And Splunk is the best solution to allow customers to easily and cost-effectively collect, analyze, and get maximum value from that data. Analysts estimate that between 2013 and 2020, the amount of data generated globally will increase tenfold, doubling every two years. That is why we firmly believe that by any measure of penetration, we are just getting started. Changing seats from head of field to CEO makes me even more convinced in our strategy to become the ubiquitous machine data platform that can grab and analyze data from anywhere. In addition to our platform, our strategy is to provide customers with best-in-class solutions, targeting specific use cases delivered by our ecosystem and by our market groups in IT ops and app delivery, security compliance and fraud, business analytics, and the Internet of Things. Our approach also remains the same, gain entry through solving one pain point for our customers and then expand over time into new use cases and buying centers. The unique flexibility of Splunk's Schema at Read allows this horizontal velocity within our customers. That is one of the key aspects of the Splunk Enterprise platform which underpins all of our use cases. Let me use a customer example to illustrate this expansion. One of our longtime customers initially started in 2011 with a multi-gigabyte per day license. They increased that to 10 terabytes in 2012. Between 2012 and 2014, they increased their capacity to more than 400 terabytes a day as they grew from single to multi-departmental. In 2015, they increased their license again to over 1.2 petabytes. And this past quarter, they expanded their enterprise adoption agreement with an eight-figure extension. This puts them on a path to index petabytes of data and adds Splunk ITSI, ES, Hunk, and UBA to their deployment. They are well on their way to our joint goal of indexing an exabyte per day. Customers are recognizing that the more data they put into Splunk, the more value they can realize. That is why I believe that we are very early in capturing our full potential, even in our larger accounts. Over the last 90 days, I have spent time with many of our strategic partners, and what is clear to me is that Splunk's relevance in the technology landscape is increasing rapidly. Our partnerships are deepening with companies such as Amazon Web Services, Cisco, Palo Alto Networks, Booz Allen, Verizon Enterprise Solutions, and EMC, to name just a few. For example, we joined forces with Verizon to bring threat detection analytics to enterprises and government agencies. They will integrate Splunk Enterprise and ES into their managed security services platform to provide more actionable predictive threat intelligence to customers. Verizon is also using Splunk to power their advanced security operation center offering. Other examples include our recent agreement with EMC, where Splunk is now on EMC's price list and is being sold by EMC's sales force. Building our ecosystem remains a critical focus area for Splunk, and I'm really excited about the progress we're making. Turning to adoption, in Q4 we saw many customers standardize on Splunk as their machine data platform. For example, our customer Cardinal Health made a major expansion, signing an EAA to standardize on Splunk Enterprise. Splunk will be deployed across their infrastructure to gain insights into the health and KPIs of their IT services and critical customer-facing applications. And a large European tax organization signed an EAA for Splunk Enterprise and ES. This existing customer already use Splunk for IT ops, security and fraud, and just expanded to use Splunk for end-to-end monitoring and real-time performance analytics to improve customer experience. Other customers with EAAs in Q4 include Softbank and EchoStar. In addition, we saw many customers who are on their journey to standardization expand their use of Splunk from single to multiple use cases, including NASDAQ, a longtime Splunk customer, who extended its use of Splunk Enterprise with a multi-terabyte expansion, and added our newest solution, Splunk's IT Service Intelligence, or ITSI, to monitor critical business services. They also added our User Behavior Analytics, or UBA solution, to better detect and investigate advanced threats. William Hill also expanded its use of Splunk to deliver value across multiple use cases, including monitoring the online gaming platform, social media analytics for customer service, and security and compliance. Longtime customer Neustar significantly expanded its use of Splunk Enterprise and selected ITSI to achieve a central view of their machine data. All Neustar users, from executives to application developers and their IT operations teams, now have a companywide shared service level view of customer-facing offerings, enabling them to fix issues before they impact their customers. We're also continuing to invest in the platform to further enable adoption. For example, in 2013 we recommended that our customers use 20 indexers for a typical two-terabyte per day deployment. Using our latest release of Splunk Enterprise, our recommendation for the same size deployment is just eight indexers, enabling more use cases and more data in Splunk and more value for our customers. Our product teams achieved that while simultaneously doubling query performance and indexing speed. In addition to our strength in multiple use case deployments, we continue to see great momentum in our market group solutions. In IT ops and app delivery, we had great customer wins, including Bloomberg, GEICO, Fox News, Experian, The Federal Reserve, and Kim Dotcom. Q4 was our first full quarter of offering ITSI, and the traction and interest we're seeing in the market is great. Customers are pleased with how easy this solution is to install and configure and how quickly they're able to improve service levels and customer satisfaction. Telus, a mobile service provider in Canada, deployed ITSI to help improve signal quality on cell towers and video quality for its Optik TV customers. ITSI monitors how cell signal services are performing and proactively identifies potential issues before they lead to dropped calls. The Optik TV team uses ITSI to closely monitor KPIs to get ahead of potential video quality issues before the customer ever sees them. We also saw the market recognize our approach to solving IT ops and app delivery customer problems. IDC named Splunk the worldwide market share leader in its first study of the emerging IT operation analytics software market. Our performance and customer wins in security continues to impress as well. That includes medical device maker Boston Scientific, who expanded its use of Splunk Enterprise and purchased ES to use as its nerve center for security. Fanatics, the online sports apparel retailer, also a new customer, selected Splunk Enterprise and Splunk ES as their SIEM [Security Information and Event Management] solution. Shell expanded its use of Splunk Enterprise and ES to enhance security across its global IT infrastructure. Skandiabanken, a Swedish online bank, is a new customer that needed a solution to help ensure compliance with local financial regulations. The bank chose ES over traditional SIEM vendors because of the flexibility Splunk provides to meet security and compliance requirements, Splunk's ability to leverage the data across other parts of their business, as well as our fast time to value. Other customer wins in security include the U.S. Army, Los Angeles Power and Water, Voya Financial, the State of Delaware, and IAC. We're also excited to showcase our analytics-driven security approach at the upcoming RSA 2016 conference, held next week in San Francisco. We are honored that several partners, including Palo Alto Networks, will be demonstrating tight integration of their technology with Splunk ES. We will also be making some exciting announcements at the conference, so I hope to see you all there. Moving on to Splunk Cloud, where we saw continued acceleration with orders growing triple digits year over year in Q4, our customers appreciate the speed, ease, and security of our cloud service, which recently earned ISO 27001 and HIPAA certifications in addition to our previously announced SOC 2 cert. Customers are thrilled at the flexibility of our hybrid deployment model, which is something only Splunk provides. Cloud customer wins in Q4 include Go Daddy, who will use Splunk Cloud to monitor the health of its workspace productivity platform, including e-mail and calendar tools used by one-third of its 30 million-plus customers. Splunk Cloud also empowers Go Daddy's customer care representatives to more quickly see, identify, report, and solve issues, constantly improving the customer experience. Sporting Index, the UK-based sports betting company, will use Splunk Cloud to monitor its AWS environments and gain real-time visibility into its hybrid IT infrastructure. PagerDuty, a SaaS-based incident management solution, selected Splunk Cloud to replace a cloud-based log analytics tool that was unable to perform the analytics they required and was coming in at a higher cost. Splunk is being used across PagerDuty's engineering teams and throughout their operations infrastructure. Other customer wins in cloud include Queensland Department of Education and Fairfax County, Virginia. In summary, it was a fantastic quarter and finish to our fiscal year 2016. I am incredibly proud of the whole Splunk team. Our superb field organization just keeps getting better and stronger at delivering customer success, and we are building an enviable ecosystem for our market group solutions. And as we showed at our last .conf, our development teams delivered an impressive set of innovation and functionality to our platform and to our solution. Again, thanks to all of our customers and partners and thanks to everyone who works at Splunk. I'm incredibly excited about FY 2017 and beyond. And with that, let me turn the call over to our CFO, Dave Conte.
David F. Conte - Chief Financial Officer & Senior Vice President: Thanks, Doug. Good afternoon, everyone. Thanks for joining us. I'm pleased to report strong Q4 results to cap a remarkable year for Splunk. The investments we made in product development, field expansion, our market groups, and the cloud drove performance substantially above our fiscal 2016 plan and expectations. Fourth quarter revenue was $220 million, a 49% increase over Q4 of last year. License revenue grew 44% over last year, totaling $141.4 million. For the full year, revenue grew 48% to $668 million in total, of which about $405 million was license revenue, a 43% increase over last year. When combined with our adoption pricing programs, our product and cloud investments are all about making the adoption and expansion of Splunk easier for our customers and allowing them to gain valuable insights from their machine data irrespective of their environment, data sources, or where the data lives. On the field side, we continue to grow our capacity globally. We ended the year with 433 quota carriers, a net addition of 127. More broadly, we grew our total company head count by about 700 in fiscal 2016 and ended the year with more than 2,100 total employees. As pleased as I am with our progress, we're still in the early stages in our markets. And as Doug described, we have a unique opportunity to establish Splunk as the standard for our customers and their data analytics. And we'll continue our focused investments in our product portfolio, the field, our market groups, and the cloud to ensure customer reach and success. In that context, once again more than 70% of our Q4 license bookings came from existing customers, while we also added a record 621 new customers in the quarter. For the full year, we added over 2,100 new customers overall and ended with more than 11,000 customers globally. Our continuing commitments to product innovations around our platform and solutions as well as our pricing programs are accelerating Splunk adoption. In Q4, we recorded 523 six-figure orders. For the full year, we booked almost 1,500 six-figure orders in total, 102 seven-figure orders, and three eight-figure transactions. Overall, our growing product suite complemented by increased awareness and adoption of Splunk software are driving this type of large-scale adoption. Just as in Q3, more customers expanded their adoption of Splunk and we saw an uptick in ASPs. Specifically, Q4 license ASP was about $80,000, higher than our prior levels of $40,000 to $50,000. Of course, we're pleased to have customers continuing to expand the use of our products. However, as I mentioned on the last call, it'll be important to measure ASPs in the first half of this year to provide a full 12-month view before declaring a higher sustained ASP level. Everyone's favorite topic, the ratable bookings mix, continued to vary quarter to quarter. In Q4, which is our seasonally highest mix quarter, the ratable component of license bookings was 53%. For the full year, our ratable mix was 46%, slightly above our previously guided full-year range of 40% to 45%, and impacted by our particularly strong Q4 results. International operations contributed approximately 28% of total revenues for the quarter, slightly better performance than prior quarters, as our international teams continued to develop their books of business. Longer term, we expect to see our international teams contribute between 30% and 40% of total revenues, though this will take some time, given the great success our U.S. teams continue to deliver, great job out there. Our education and professional services represent 7% of revenue in Q4, consistent with prior levels. Now turning to margin and other results, which are all non-GAAP. Q4 overall gross margin was 89%, down about 100 bps year over year, reflecting the expansion of our cloud business as well as services around our market solutions. Q4 operating income was $15 million, representing a positive margin of about 6.7%. Q4 net income was $14.4 million or $0.11 per share using a fully diluted average weighted share count of 133.8 million shares. For the full year, operating margin was 3.8%, slightly above our expectation due to the strength of our overall top line performance. Full-year net income was about $24 million or $0.18 per share based on a fully diluted weighted average share count of 131.8 million shares. Cash flow from operations in Q4 was $77 million, while free cash flow was $50 million. Full-year cash flow from operations was about $156 million in total, or about 23% of revenues. Free cash flow was $104 million for the year, reflecting the total CapEx of $51 million, much of it related to our new San Francisco office I had mentioned previously. Absent the San Francisco build-out amounts, our CapEx was approximately $18 million for the year, consistent with prior periods and directly correlated to our head count growth. Finally, we ended the year with just over $1 billion in total cash and investments. Looking over the past few years, our investments are paying off. At the bookings and revenues scale we expect in fiscal 2017 and beyond, we're beginning to see the leverage benefit from these investments in our operating model. For the full year 2017, we are targeting non-GAAP operating margin of about 5%, consistent with our plan of 100 to 200 basis points of annual margin expansion as we continue to penetrate our addressable markets. We'll continue to focus our investments on delivering the best customer experience. We'll be disciplined about how we expand our product lines and ensure our coverage model delivers top line growth at these absolute levels. As we discussed at our last analyst meeting, long term we believe that we can generate at least 25% non-GAAP operating margins as we reach that scale. Regarding our FY 2017 operating margin specifically, we expect to achieve these operating results on full-year revenue of about $880 million, an increase from our previous guidance of $850 million. We expect Q1 revenue to range between $172 million and $174 million. Subsequent quarterly revenues will closely follow the seasonal patterns we've seen historically, with roughly 42% to 58% contribution first half to second half. With the continued investments I've described and overlaid with our revenue plan, we expect non-GAAP operating margin of between a negative 1% to 2% in Q1, turning slightly positive in Q2, and then ramping in Q3 and Q4, consistent with the seasonal nature of our model. Remember, since we expect to be in an operating loss position in Q1, you should use a share count of about 132 million shares when calculating EPS. It's important to highlight this. Our business continues to generate substantial cash flows. In FY 2017, we expect operating cash flow will again be approximately 23% of total revenues, or about $200 million in total, similar to prior years in percentage terms. As I've mentioned, this year will be another higher CapEx year for us, as we expect the majority of our Silicon Valley campus build-out to be completed this year. When combined with global facility expansions to accommodate our growing employee base, we're planning for between $50 million to $60 million in total CapEx in fiscal 2017, weighted about $20 million in the first half and up to $40 million in the back half. Again, without the San Francisco and Silicon Valley projects, our annual recurring CapEx would be in the $16 million to $18 million range. In closing, our Q4 results and our full-year performance were really solid. Our product investments are driving customer success, and our field expansion is enhancing our execution capabilities. Our strategy is working well, and we plan to continue to fuel the pace of adoption as we drive to make Splunk the ubiquitous machine data platform. Thanks much for your time and interest. With that, we'll open it up for questions.
Operator: Thank you. And our first question comes from Phil Winslow from Credit Suisse. Your line is now open.
Philip Winslow - Credit Suisse Securities (USA) LLC (Broker): Hi. Thanks, guys, and congrats on just a great quarter and a great fiscal year, just two questions here. First on the pricing side, obviously you have a volume-based pricing model. But when you look at your deals right now, I'm wondering if you can give us some color on what you're seeing in terms of just the pricing environment, especially as you sign more of these enterprise adoption agreements. And then a second question just on use cases, I wonder if you can just drill into that a little bit more. What are some of the newer use cases that are really picking up that have surprised you guys that you're confident in that are continuing to contribute to the rest of this year and next year?
Douglas Merritt - President, Chief Executive Officer & Director: Thanks, Phil. So pricing has remained consistent for quarters. With the EAA, the larger transactions like EAA transactions there, we go to a lot of depth with our customers to craft a value understanding on both sides. And as you know, those are much broader based with lots of flexibility and latitude on how much data comes in. but we see consistency with pricing right now within our accounts. And then on the use cases, the two predominant trends that we're seeing are more and more hybrid environments as people are continuing to move workloads into the cloud, but they obviously still have a lot of their core IT infrastructure and workloads being done in their existing private data centers. And then a lot more multiproduct type pacing, people straddling from security to IT ops or from IT ops to security, that's continued. And the constant experimentation with more the operational analytics as marketing probably specific gets a little bit more understanding of the treasures that could be hidden in the big data that the IT systems have accumulated.
David F. Conte - Chief Financial Officer & Senior Vice President: Hey, Phil, it's Dave. I think another element around how customers view our pricing model, with now having crested 100 seven-figure orders in fiscal 2016, I think the awareness around what the top of our pricing curve looks like with the EAA programs we introduced in the earlier part of the year are starting to resonate. So enabling customers to adopt freely with predictive economies is really the key. And as they move in that destruction in terms of single-department to multi-department to standardization, the pricing curve really helps them in those programs in particular.
Philip Winslow - Credit Suisse Securities (USA) LLC (Broker): Actually, Dave, I'm going to ask you one quick follow-up and then be bold and ask a third question. Obviously, the ratable mix stepped up pretty meaningfully again this quarter. Any sort of change in your thought process on ratable and just what are you implying, generally speaking, in the full-year guidance and Q1? And then I'll wrap up, thanks.
David F. Conte - Chief Financial Officer & Senior Vice President: You got it, Phil. As you know, we've been together a long time. That mix estimate I think has changed at least a half dozen times now from originally when we went public to 10% to 20%. And as we see customers adopting and we enable them to do so, it's up to 46% for last fiscal year. Looking forward, though, I still believe that 40% to 45% of our fiscal 2017 license bookings will be of the ratable variety. And it's important to note, if you look at the first nine months of fiscal 2016, our average mix percentage was about 42%, so pretty much down the middle of 40% to 45%. But we had such a strong fourth quarter in terms of large orders. And as you guys know, the number of large orders tend to have the characteristics that make them ratable. That's why 53% of license in the fourth quarter was ratable, and that skewed the annual rate to just above 45%. So as always, as we move through the year, see the types of transactions that we're executing with customers, if we think that rate is going to change, we'll tell you right away. But I think 40% to 45% is the way we're building it into our model.
Philip Winslow - Credit Suisse Securities (USA) LLC (Broker): Great, thanks guys.
David F. Conte - Chief Financial Officer & Senior Vice President: All right, Phil.
Douglas Merritt - President, Chief Executive Officer & Director: Thanks, Phil.
Operator: Thank you. Our next question comes from Walter Pritchard from Citi. Your line is now open.
Walter H. Pritchard - Citigroup Global Markets, Inc. (Broker): Thanks. Dave, I'm wondering just on the deferred revenue. I think in Q4 of last year we saw what looked like a really strong quarter, but deferred revenue wasn't quite as strong last year in Q4 as it was this year. You saw some strength there as well as strength in the long-term deferred. And I'm wondering if you can just help us understand what drove that this year.
David F. Conte - Chief Financial Officer & Senior Vice President: Sure. As I mentioned, we had a number of large orders, over 100 for the year. As you would expect, many of those closed in the back half and in the fourth quarter specifically. Three eight-figure orders, I think inception to date we had recorded two eight-figure orders prior to this fiscal year. So more than double – okay, more than double two is not that hard. But still, those transactions have more disparity between short term and long term. So you can see the uptick in terms of long-term deferreds as a result of the large transactions.
Walter H. Pritchard - Citigroup Global Markets, Inc. (Broker): Got it. And then just for Doug, on the IOT initiative, you have a GM in charge of that. I think we see clear traction around some of icon and security initiatives. I'm curious if there's any update on Internet of Things and any of that signing large deals.
Douglas Merritt - President, Chief Executive Officer & Director: Both Internet of Things and the more operational analytics piece are so much fun. There are always surprising use cases. And the good part I think for all of us, customers and Splunk, is they tend to be much more in the mainstream of the business, revenue-oriented and competitive differentiation-oriented. So it's definitely where I think long term we'll see more and more people land. The issue that we've been having for years is how do you – what are the applications that you can build once and use thousands of times, like we're getting with ES and ITSI, versus a really cool single-use case that is one-off, so 1,000 one-offs versus one that can be replicated. I think there are a few patterns beginning to form up in marketing with customer experience and customer intimacy. But the variation we're seeing within accounts on how they want to structure those apps is pretty broad. And so as we find the patterns, and I think this will really, really be a place where the ecosystem is beyond instrumental, there's so much vertical and country and geo-specific expertise needed that I believe that the real patterns will be found as we tap our ecosystem. (31:52)
Ken Tinsley - Corporate Treasurer and Vice President of Investor Relations: Thanks, Walter.
Operator: Thank you. Our next question comes from Michael Turits of Raymond James. Your line is now open.
Michael Turits - Raymond James & Associates, Inc.: Hey, guys. I just want to jump in on the security side. One, how are you doing with the new UBA offering that you have purchased and what you've built there? And also, obviously you've been doing great in security as a SIEM addition and as a SIEM replacement for a bunch of years. Is there any change there from a demand perspective? Are we getting any kind of positive inflection point further in terms of demand for SIEM replacement?
Douglas Merritt - President, Chief Executive Officer & Director: Great questions, Michael. So the User Behavior Analytics application, we're really pleased with its continued progress. The approach that we took with the ITSI application, which was a very patient one-year new product introduction process, it was beta released at .conf before last .conf. And rather than rush it to market, we worked with I think it turned out to be 17 eventual new product introduction partners in our customer base to keep iterating and make sure that when we finally released it a little bit over a quarter ago, four-plus months ago, it was ready for prime time. I think we really have seen that pay off with the four-month traction since we've officially unveiled it as fully production with ITSI. And we're trying to do the same thing with UBA. It's a really interesting area for us. Obviously, we cared a lot about that area since we did a sizable transaction there, and we see a lot of enthusiasm within the customer base. And we've got a similar new product introduction type of framework for it, just to ensure that, given how nascent the market is and how new the product is, that we nail it in its characteristics and we don't get ahead of our skis. So we'll keep you informed as we get more ready to go broad-based and take the new product introduction veil away from that product. On the SIEM piece, I think we've just seen a continued progression quarter over-quarter. It's like a relentless drumbeat where we're getting – we didn't even want to be in the SIEM market at first. Godfrey [Sullivan] told me all the stories about how Gartner kept coming and asking us to in the Quadrant. And we kept saying hey, we're a machine data platform, we're not just a SIEM vendor. And then they eventually convinced us to participate. And I think that high end and the entire security and market segment team, it's a really strong team that just keeps doing a better and better job of making sure the world knows that we are a complementary SIEM to existing SIEMs or potentially a replacement SIEM for the accounts that want to go that direction. And despite the strength there, I still see it as early days. That percentage attach rate keeps going up with security use cases, but it still is still below 30%, which means that we still have quarters and quarters and quarters I think before it's so mainstream that it's part and parcel of every security deal.
Michael Turits - Raymond James & Associates, Inc.: Okay, great. Thanks very much.
Douglas Merritt - President, Chief Executive Officer & Director: Thanks, Michael.
Operator: Thank you. Our next question comes from Keith Weiss from Morgan Stanley. Your line is now open.
Thomas G. Allen - Morgan Stanley & Co. LLC: Hi, this is Tom Allen calling in for Keith. A few quarters ago, we started hearing from management about growing beyond just security and IT operations and better addressing the business analytics market. Can you talk about how that's shaping up? Are there different market dynamics that would limit Splunk's traction relative to what we saw with other use cases like security?
Douglas Merritt - President, Chief Executive Officer & Director: Thanks, Tom. The only dynamic that's different is just finding what is, as I said earlier, what is that single application or pattern that can be applied to thousands of accounts. I think it's more based on the fact that in business analytics we talk about that as being something that a sales or marketing or manufacturing or supply chain group is interested in using analytics around. That's very traditionally been a structured analytics problem. That's been something that the classic BI folks have been going after. And I think there's just a continued headset shift to understand the value that real time, more time series, and continuous flow of state-based data, what it can do for those business operations, and we're all learning that together. And I think IOT is similar but different in the sense that it's just a brand new category. Cisco started talking about it pretty aggressively back in 2011 and 2012. That's only a few years ago. And I think that people are still wrestling with exactly what does it mean to be more of a software or services vendor on top of being a products vendor. I think we're seeing that actually maybe form up before business analytics. It has a little bit more of the characteristics of some of the things that we see within the IT space. As we get a better bead on what those patterns are within different industries, we'll definitely let you guys know what we see emerging.
David F. Conte - Chief Financial Officer & Senior Vice President: Hey, Tom, it's Dave. I think it's really important as we think about our strategy going forward and we talk a lot about how we invest and enable our platform. So while we're certainly focused on our market group specific solutions in ITOA and security, enabling our customers to leverage our platform and their data and then develop those use case solutions and those pain point solutions around analytics and IOT is absolutely critical. So you hear us talk a lot about platform and solutions. You hear me be deliberate about our commitment to invest in that kind of customer enablement. But I think it's particularly important in those emerging markets for us because ultimately customers are going to help us define what are those most critical things that we can do and help them solve in those particular market groups, and it all starts with the strength of the platform.
Thomas G. Allen - Morgan Stanley & Co. LLC: Great, thank you.
Ken Tinsley - Corporate Treasurer and Vice President of Investor Relations: Thank you.
Operator: Thank you. Our next question comes from John DiFucci from Jefferies. Your line is now open.
John DiFucci - Jefferies LLC: Thank you. Doug, you mentioned your move from head of field to CEO. I guess Splunk has evolved quite a bit in its field operations. But are there any changes you think are appropriate in the field at this point, and perhaps relative to partners? That's something we hear a lot about and it's something that it seems like as you continue to evolve, and what I'm thinking about is partners that perhaps can build a practice around Splunk. And then I guess as a CEO too, now your realm is just much broader. And I think as you think of product, when I look here you released a lot of new Splunk products that address specific technologies or platforms, whether it's AWS or ServiceNow or Akamai. But they seem to be products that can be broadly used for different use cases on these platforms. So should we expect more of this going forward? And what other things can you do with the product pushing even broader application of Splunk? I'm sorry for my barking. I have a little cold.
Ken Tinsley - Corporate Treasurer and Vice President of Investor Relations: There's a vote of confidence.
Douglas Merritt - President, Chief Executive Officer & Director: Don't worry, John. If I had to count every time I was on a conference call and one of my kids or dogs barked in the background, it'd be a long list.
Ken Tinsley - Corporate Treasurer and Vice President of Investor Relations: Barking kids?
David F. Conte - Chief Financial Officer & Senior Vice President: Yeah, I didn't know your kids barked.
Douglas Merritt - President, Chief Executive Officer & Director: They do. You've been to my house, Dave. You've seen them. So two great questions, John, thank you. Coming in I had two strong focus areas on the field side, and one was partners. How do we start to get more enacting of that partner channel? We'd had lots of channel partners helping us fulfill, but how do we get them actually helping across the entire sales cycle and inventing around us? And the second was, how do we get more solid motions on the adoption and expansion piece? And so last year at this time I announced that Customer Success team. And that was the initiative of let's get people in place that work with the sales teams post-close to ensure that the ROI that the sales team crafted, co-created with that account actually gets actualized as quickly as possible. I think we've gotten good progress on both of those. At this SKO that I just flew back up from late last night, it's the first time in Splunk's history that we actually invited partners and they were side by side with our sales teams through the presentations. And we had a whole bunch of separate breakout tracks for them to make sure that they, in addition to what they joined us for, that they could continue their education through the uniquenesses within the partner tools and processes and other pieces. I think there's a lot of room to go there still. And a piece of it is it just takes – like with our own reps, it takes time for everybody to get ramped up and understand all the capabilities of Splunk. And we've been focusing more and more resources on ensuring that partner channel has that enablement characteristics, but that the playing field is level for them as well, and that we've got the right cultural change within Splunk. And we definitely will not let up there for a moment. And then the apps like the AWS and Akamai and ServiceNow apps, and then all the other apps that are in the ecosystem, one, the Splunk base participation rate was relatively static, around 600 apps for a bit of time. And we began to increase focus on the development community. And just a few hours ago I got an update that now we're over 1,000 apps in Splunk base. So I think those efforts are starting to pay off. And while we certainly craft some of those, the vast, vast majority of the 1,000 are done by our partners or by vendors themselves that really understand their product sets and how Splunk can be brought to bear. And that's the third. Then within that partner fold, getting velocity and true economic benefit around those applications is something that's going to be super-important for us going forward.
John DiFucci - Jefferies LLC: Okay, thank you. Thanks, Doug. If I might, and I'm sorry, my cough feels better now. The EAAs, I thought early last year, maybe it was early this year, you guys came out, and it sounded to me – just pricing, the last question on pricing because it's always a question we deal with. And I'm not sure if it's more of a question from the investment community because no one else can price their goods, their products based on the amount of data that they process or index in your case. So there could be some people – it can get expensive as this proliferation of digital data continues. But it seemed to me that you were going to push down the EAA so that they could address not just your largest customers but smaller customers too. I thought that made a lot of sense that you were pushing for adoption of Splunk. You're still what seems like, at an early stage of addressing the opportunity. But I don't really hear a lot about that. Even when you talk about them, you don't really talk about that being addressed or being pushed down. Am I reading that wrong? Should I not expect that? And if you're a smaller customer, you're just going to have to pay based on the amount of data you process and you're not going to get different kinds of terms that might lock you in for a long, long time? I don't know, but it's something I have to address every day.
David F. Conte - Chief Financial Officer & Senior Vice President: Yes, sure. Hey, John, it's Dave. I'll try to be concise. The activities we have around pricing span from the top of the pricing curve all the way down to entry-level pricing, not just for our solutions on-prem, our solutions and our cloud offering. A lot of the things that we do around the product are intended to help folks with their TCO. A lot of the things we do around our product that we're incorporating is around predictability. That's predictability in terms of pricing programs, but predictability around some functionality, so customers can actually – we help them understand what their capacity needs are. So your question is, are EAAs only for those at the top, and is something going to push down? We think about pricing in that mid-tier in terms of, lack of a better term, a traditional pricing curve. There's entry-level pricing at almost no volume. And as you move up the volume curve, you get the benefit of volume discounting that ultimately culminates in an EAA-type transaction. We are continuously looking at how do we create the elasticity that we need around pricing programs to enable the field to get the customer what they need, and we introduce those into the field all the time. So I think the answer to your question is you're not thinking about it wrong. It's just at what pace are we enabling customers to get to those broader transactions and what's the right scale for a customer to be when you give them that kind of volume price. So traditional pricing curve, at the top sits the EAAs. And we're looking around how do you do that enablement up and down the stack in terms of customer size.
John DiFucci - Jefferies LLC: Okay, Dave. That's helpful. I used to always think EAA was a seven-figure deal and more. That's where you start to get into that. Has that started to come down at all?
David F. Conte - Chief Financial Officer & Senior Vice President: So again, we did over – we had 102 seven-figure transactions. And as a reminder for everybody, a $1 million transaction does not equal an EAA. A subset of those transactions are EAAs. Okay? All right, John. Hey, appreciate it. Thank you.
John DiFucci - Jefferies LLC: Sorry for the long questions. Thanks for everything, thanks.
David F. Conte - Chief Financial Officer & Senior Vice President: Okay, thanks.
Operator: Thank you. Our next question comes from Raimo Lenschow from Barclays. Your line is now open.
Raimo Lenschow - Barclays Capital, Inc.: Thanks. Let's try a short question. Dave, you beat revenue quite a bit this quarter. But on the operating side, you didn't quite beat it by that much. Can you talk a little bit about the drivers? I suspect it's going to be bonus payments, accelerated (46:33). But just, I wanted to understand how the leverage is coming through. Thank you.
David F. Conte - Chief Financial Officer & Senior Vice President: Yep. Hey, Raimo, thanks for the question. You got it because we had a really strong finish to the year. I try not to get too excited but a really impressive fourth quarter. And I'm more than happy to – we just were at the Sales Kickoff, and the excitement and enthusiasm in the audience around how we finished the year and how the field is looking forward to fiscal 2017 is infectious for sure. So probably my favorite part of the whole event was the awards night when we got to recognize our top performers. And then the scrolling list of all those folks that are going to be joining Doug at the President's Club was amazing, the number of people that really delivered for us as a company and for our customers. So all of that great success, as you correctly point out, does translate into higher variable compensation around bonus and commission. And candidly, that paying commissions is one of your favorite expenses when you're the CFO.
Douglas Merritt - President, Chief Executive Officer & Director: And when you're the CEO.
Raimo Lenschow - Barclays Capital, Inc.: All right, perfect. Thank you, well done.
Ken Tinsley - Corporate Treasurer and Vice President of Investor Relations: All right, Raimo, thanks much.
Operator: Thank you. Our next question comes from Brent Thill from UBS. Your line is now open.
Brent Thill - UBS Securities LLC: Hey, Doug, just on the selling environment, anything that you're noticing that's different in the overall environment, or would you consider the environment to be more standard from what you've certainly seen the last several quarters?
Douglas Merritt - President, Chief Executive Officer & Director: It has certainly been a fun month in the stock market, hasn't it, Brent? Maybe fun is not the right word. What we're seeing in the customer base is not a reflection of that at all. We saw sustained and increasing demand through Q4, which I think helped us with that close. And I'm obviously on forecast calls and call-downs with the folks all the time, especially to get a bead on this quarter of the year, and spend a lot of time – we had over 400 partners at SKO and had probably 20 one-on-ones with different partners. And as far as Splunk is concerned, we're seeing continued strong universal demand. And as I think you and I have talked about it before and as Dave says over and over, my biggest concern still is coverage. How do we get more feet on the street, both within our existing customers so we can see increased horizontal velocity, but just as importantly in accounts that are not currently Splunk logo accounts? And I haven't seen anything yet in my two years that indicates any other trend other than accelerating interest and demand in Splunk solutions.
Brent Thill - UBS Securities LLC: Okay. And, Dave, just on Raimo's point, I think a lot of the focus right now in the market is on the bottom line. Approaching close to $1 billion and exiting that run rate at a mid-single-digit operating margin, a lot of the other peer companies that had $1 billion were running at double, if not triple that operating margin level when you look at the historic context of some of these companies. And you can look at Salesforce when they crossed $1 billion, it was a lot higher. I think you're sending the signal that growth is the first-class citizen right now, but there's nothing in the playbook long term that makes you believe inherently that this is a less profitable model than what we've seen historically in the software industry.
David F. Conte - Chief Financial Officer & Senior Vice President: I have no concerns at all about the leveragability of our model. And I can tell you, I'm brutally deliberate in my prepared remarks to emphasize the discipline in which we want to invest in product and field coverage in particular, and of course, the market groups and the cloud. So if I think about Salesforce and what did they look like when they were at $1 billion and their path to, say, $4 billion and the margin characteristics, they had reached a certain level of scale of delivering their product SaaS-only, which is terrific. We, on the other hand, are in the middle of expanding our hybrid delivery model from not just a traditional on-prem and the margin characteristics of that business, but adding in a cloud component, which we think is absolutely critical, and Doug mentioned it. Hybrid enablement for our customers is really differentiating, and we really are focused on making sure that we deliver that for customers. Of course, that comes with some element of investment that's incremental to what Salesforce was doing at the time they crossed $1 billion or what a traditional on-prem software company would be doing at the same $1 billion milestone. What's really important though overall is the TAM is significant, and it continues to grow. And while we think about $1 billion in revenue – approaching $1 billion in revenue, I still consider that fractional in terms of the share that we're going to gain in the medium term. So we're going to be thoughtful. We think growth is a first-class citizen. In terms of leverage, I'll declare, we could be more thoughtful today and deliver more margin expansion, but I think it would be a bit shortsighted in terms of customer capture. We deliver the cash flow leverage that I think is indicative of that opportunity, and we're going to continue to focus on the balance between what's the revenue growth and what's the customer acquisition trend. How are we getting the right coverage in the field, how much cash flow are we generating, and ultimately, what's that op margin leverage? As a reference back to my prepared remarks, I did want to just share something we had shared at our Analyst Day most recently. We think at least 25% op margins at a certain level of scale is the right target for us today.
Brent Thill - UBS Securities LLC: Thank you.
Ken Tinsley - Corporate Treasurer and Vice President of Investor Relations: Thanks, Brent.
Operator: Thank you. Our next question comes from Jesse Hulsing from Goldman Sachs. Your line is now open.
Jesse Hulsing - Goldman Sachs & Co.: Thanks, guys. I guess this question is probably for Doug. I know it's early with ITSI and UBA, but you've had the security solution out for a while. I'm curious if you're seeing more success with these types of premium solutions, selling into new customers. I guess another way of putting it, is it driving your initial ASP higher or shortening your sales cycle, or are you seeing more success selling these solutions into your installed base? Thanks.
Douglas Merritt - President, Chief Executive Officer & Director: Thanks, Jesse. I think we've done a number of – one, I think at the 50,000-foot level, the solutions really help customers understand the power of Splunk much more quickly, and I think just as importantly, shorten time to value. You can install the platform, accumulate the data, and then create your own app on top; or you can install the platform, accumulate the data, and get immediate benefit because the app that we built or partners have built for that account. So ultimately, customers are looking for value from these solutions, and anything we do to shrink that time to value is good for them for sure. And I think allowing our teams to go in with a point of view, not hey, we're just here to solve any big data problem, but let's start with a few areas where we've got applications or our partners have applications where we've got proven success is one of the strong sales motions that we like a lot and that we're proud of. And we are increasing the attach and bundle rate of these solutions with the underlying platform, which could be a component of that ASP increasing Q3 – Q4. But I think along with that is these larger deals where we're going horizontally across to organization and we're seeing volumes of data spike up as well.
Jesse Hulsing - Goldman Sachs & Co.: Thanks, that's helpful.
Ken Tinsley - Corporate Treasurer and Vice President of Investor Relations: Thanks, Jesse.
Operator: Thank you. Our next question comes from Steve Ashley from Robert W. Baird. Your line is now open.
Jason Velkavrh - Robert W. Baird & Co., Inc. (Broker): Hi, thank you. The is Jason Velkavrh on for Steve. Thank you for taking my questions. You mentioned in the prepared remarks that you had replaced – or a customer had displaced a cloud-based tool that couldn't perform the analytics they required. I'm just curious if you can give more detail on that, maybe the use case, and what feature Splunk had that allowed that customer to meet their needs.
Douglas Merritt - President, Chief Executive Officer & Director: That's a very good question that I actually don't have the depth of answer around. Rather than make it up for you, Jason, why don't I look into what the actual details of the replacement were, and then offline I can give you that color.
Jason Velkavrh - Robert W. Baird & Co., Inc. (Broker): Okay, that's great. I have actually just one follow-up. It's actually related to John's question on EAAs and pricing. If you look back at customers who in the past signed EAA deals, how did their growth and the amount of data they indexed change after they signed that deal? I'm just curious if there might have been a surge in the amount of data that they were indexing, possibly indicating some sort of friction that the pricing was creating that has now been removed.
David F. Conte - Chief Financial Officer & Senior Vice President: Hey, it's Dave. I think if you look at our history, we have had a number of what we call EAA customers come back for an extension off their original transaction. I'll declare that if you look at the timeline of how long we've had these programs in place, the population of those is relatively small. We need more time, I like to say more time in the rearview mirror to be able to make a definitive statement about what behavior do we see when customers come back and what is their data consumption. Of those customers, however, who have come back and who have been with us on that multiyear journey, the amounts of data are typically orders of magnitude higher in terms of hey, we've had great success, you guys have been helpful in terms of getting us a platform to adopt and really get leverage from all of our data. Guess what? The amount of data we have has grown significantly, and the demand for your product is expanding virally. So the combination of what we all know is a massively increasing amount of data creation and success inside of the customer has led to significant increases in how much they'll consume when they come back for more.
Douglas Merritt - President, Chief Executive Officer & Director: Jason, there are still the natural barriers, though, of no matter what the price of the software is, there's infrastructure necessary to support it. So when we talk about these EAAs and why there's setup time for them is, given that they're going to incur cost. Whether they're renting it in the cloud and allowing us to provide the efficiency that we drive there, there still is an infrastructure cost that goes with it, and they're going to incur people operational costs. There's a value justification necessary for what problem you're trying to solve, what data does it need, and is that investment in whatever software, infrastructure, and people is going to achieve the ROI is worth that investment? So even when we've taken the gates completely off with these more unlimited structures, there still is a pacing across the organization where different departments get an understanding of what they need to solve and what the benefit of solving it is.
Jason Velkavrh - Robert W. Baird & Co., Inc. (Broker): That's really helpful, and then one very quick follow-up. I saw the announcement of the Atlassian deal this quarter. They signed an EAA. I just wanted to confirm. They were a current Splunk customer before standardizing, or were they on EAA right out of the chutes?
Douglas Merritt - President, Chief Executive Officer & Director: They were a customer with smaller spot usage, and they had seen the benefits of hey, let's really get a single data architecture across the company and came to us. That's one of those examples, I think it was John earlier that was talking about going down-market. That was a six-figure EAA for what is a relatively small, super-successful, high-growth awesome partner or customer, but relatively small compared to some of these big Fortune 2000 brands.
Jason Velkavrh - Robert W. Baird & Co., Inc. (Broker): Great. Thanks, guys.
Ken Tinsley - Corporate Treasurer and Vice President of Investor Relations: Thanks a lot.
Operator: And our next question comes from Brian White from Drexel. Your line is now open.
Brian J. White - Drexel Hamilton LLC: Great. I'm wondering if you could talk a little bit, Doug, about the competitive landscape and also what you're seeing in IT. There have definitely been a lot of companies complaining about IT at the end of January spending. That's one question. And finally, internationally, revenues were, I think you said 28%, but I think the quarter before they were only 23%. So what's happening internationally that you can really break out here? Thank you.
David F. Conte - Chief Financial Officer & Senior Vice President: This is Dave. Let me take the international mix, the revenue mix comment. I noticed the same thing, as you would imagine, and said boy, that's a nice uptick internationally. Let me understand that a little bit. It's really a good data point indication of customer maturity from our regions. So we were certainly happy with the performance, but the nature of the transactions in EMEA and APAC tend to be the non-ratable variety, so more revenue yield from those transactions. Why is that? That's because the transactions in the Americas, where we have longer tenured customers, those are the more mature accounts that tend to do the adoption type transactions that I referenced that have ratability components to it. So the one-quarter mix between – mix is a lot of fun over here, and it's actually regional mix, just to make it even that much more exciting, was really the reason. The revenue yield was higher on perpetual transactions versus the adoption transactions that we saw domestically. And then, Doug, the question of competitive?
Douglas Merritt - President, Chief Executive Officer & Director: At SKO, I was highlighting some of the achievements for the year. And one of the achievements was our competitive win rate, which was above 85% across the course of all of FY 2016, which is an awesome figure. In all my years inside of enterprise software, I don't think I've ever seen a consistent 85% win rate, which we saw throughout the course of FY 2016. So whenever we're engaged, it feels like we do extremely well, and we're able to clearly differentiate the Splunk solution versus data platform solutions or specific security or IT ops or more vertical best-of-breed solutions. My concern on that win rate is that it's a double-edged sword for me. It's super-private. Our teams absolutely nail it when they're in front of the customer. And that indicates that we have got a coverage issue and there are other deals happening where we're just not present. So anywhere that we're present we win, or we win 85% or more of the time. I want to make sure that we continue our investment in coverage through partner leverage and direct leverage so that we keep that 85% win rate but are present in more opportunities.
Brian J. White - Drexel Hamilton LLC: And just on the IT spending, obviously it was a great quarter here. You did not see any change in sentiment among your customers in terms of spending. Is that fair?
Douglas Merritt - President, Chief Executive Officer & Director: Within our Splunk sales cycles, we're not seeing that. In many cases, we get displacement for other pieces or that they're seeming to prioritize spend for Splunk right now.
Brian J. White - Drexel Hamilton LLC: Got it, thank you.
David F. Conte - Chief Financial Officer & Senior Vice President: Thanks, Brian.
Douglas Merritt - President, Chief Executive Officer & Director: Thanks, Brian.
Operator: Thank you. Our next question comes from Mark Murphy from JPMorgan. Your line is open.
Mark R. Murphy - JPMorgan Securities LLC: Okay, the call is still going. Hey, Dave, I wanted to ask you on the topic of EAAs. You had mentioned – or I think Doug had mentioned a handful of them in terms of logos in Q4. I guess I'm just curious. In round numbers, what was the total number of EAAs? Was it 20 or 30, just as a guess? I don't think I have much feel for that. And then would you also tie that in with what was driving the ratable mix higher on that 53% number for the quarter? Is that tied in with the EAAs?
David F. Conte - Chief Financial Officer & Senior Vice President: Hey, Mark. Yes, the ratable mix is absolutely tied into the EAAs, but let me just expand that a little bit more because I said it earlier. Just as a reminder, a large order is not synonymous with an EAA. We did a record number of $1 million transactions, of course, three eight-figure transactions. And when you see those types of orders at scale, they have a disproportionate influence on the mix. It's a similar pattern that we've seen in the last couple fourth quarters, as we are focusing on helping customers with adoption. So what's driving that higher percentage is adoption for sure. Now how many EAAs did we do? About 30 was the number. If you wanted a round number, it was about 30. But even that, other elements that are affecting mix, again, we have a fairly strict definition of what we would consider an EAA. That's why there's 30, even though we did 100 seven-figure orders. But many of the seven-figure orders also have ratability features. So we don't call them adoption because we don't think that we've reached that level of maturity with the customer or enterprise adoption where we want to take credit for that. We want to be disciplined with that classification. But on those large orders that are not inside of the definition of EAA, they still have adoption characteristics that lead to ratability. I think the last piece is – Doug mentioned it in terms of order velocity in the cloud. And we're really happy with the progress that we're making on that front, and of course it contributes. When we measure the mix, we include, again, it's licensed bookings, we include cloud in that calculation.
Mark R. Murphy - JPMorgan Securities LLC: Yes, thank you. It's very helpful, and then just one last quick one. Could you remind us what the trend in CapEx is going to look like after we move through the period of higher investment? I guess it sounds like – are you trying to say that that would drop closer to the $20 million level? And then I'm also just trying – from a modelling perspective because it impacts free cash flow, I'm just trying to understand. At which quarter do we think that elevated period of investment concludes?
David F. Conte - Chief Financial Officer & Senior Vice President: Sure. So prior to fiscal 2016, we had executed our transaction to expand in San Francisco. So at the start of the year, we had guided that we would do about $50 million in CapEx. What we had been running at before was in the – anywhere from $14 million to $15 million annually in CapEx, which is directly tied to our head count growth So then midyear we also decided on our expansion in the South Bay and updated everybody on the call that – listen, fiscal 2017 is going to include $50 million to $60 million as we wrap up San Francisco and then we wrap up the South Bay. Once that's done, we think now with our heightened level of employees, instead of being in the $14 million to $15 million range annually, we're going to be in the $16 million to $18 million range annually.
Mark R. Murphy - JPMorgan Securities LLC: Thank you.
David F. Conte - Chief Financial Officer & Senior Vice President: Okay, thanks.
Ken Tinsley - Corporate Treasurer and Vice President of Investor Relations: Thanks, Mark.
Operator: Thank you. Our next question comes from Katherine Egbert from Piper Jaffray. Your line is now open.
Katherine R. Egbert - Piper Jaffray & Co (Broker): Thank you. Back to the competition, there's been some fear in this space broadly of very big vendors coming in and maybe causing some turbulence at the low end. Can you talk about Microsoft, Amazon, and even some of the private vendors, what you're seeing from them, if anything?
Douglas Merritt - President, Chief Executive Officer & Director: Thanks, Katherine. Right now, Amazon is one of our best partners out there. We are co-selling Splunk solutions into the Amazon Cloud. Their reps get commission and quota credit on Splunk. And we've got a number of people around the globe, we do and they do, that just work on making sure that their enterprise sales reps and our enterprise sales reps are doing the right joint account planning and mutually finding opportunities together. So my hope and expectation is that we continue to work in that cooperative manner. We've got quarterly business reviews with Andy Jassy and Mike Clayville and Terry Wise and the executive team up there. And it's a very productive relationship for both Amazon and for us. Their customer base views Splunk as – they told us that their customer base views Splunk as the most requested item within the cloud, given the visibility, transparency, and security assurance we can give those customers, many of whom are hybrid in nature. In all the years that we've been out with Splunk, and there have certainly been initiatives we've heard of – big companies like an IBM or – not so much in Microsoft yet – and Oracle to do something around the Splunk arena. So far, we haven't seen anything in the marketplace. And we're focused on just making sure that we continue to improve our Splunk offerings to continue to drive that horizontal viral adoption within our accounts.
David F. Conte - Chief Financial Officer & Senior Vice President: Hey, Katherine. It's Dave. I do want to pile on to a point that we've made before. Our win rate that we spend a lot of time measuring how we do when we're in a compete is enviable. It's 85% across all of our core markets. The concern, if there was one, and why I'm just so committed to investing in our coverage is making sure that we get to all the other accounts that we don't see. So 85% win rate is phenomenal when we're engaged, but we've got to expand our coverage universe so that we continue to get in front of the customers that need our solutions.
Katherine R. Egbert - Piper Jaffray & Co (Broker): Okay, that's helpful, and then one follow-up. Given how strong Q4 was, how's the pipe looking coming into Q1?
David F. Conte - Chief Financial Officer & Senior Vice President: So Doug mentioned earlier that we spent a lot of time, as you would expect, doing our diligence leading up to the call. And Q1 is always your scariest quarter. And all of the input from the field has been reflected in the guidance that we've provided for the quarter and for the year. Now I wouldn't call it an unusual step, but one that I don't exercise typically is, given some of the reports that have come out of late and some of the questions that you hear around what's the demand look like more broadly, is there something coming that we should be concerned with? An infrequent step is I went out and Doug and I went and spoke at greater length with a lot of folks out in the field to talk about pipeline specifically, what are they seeing in their accounts. And this is the case too with our partners. We had a great event at the Kickoff with our partners and asking the questions about what do you see around demand. And I am happy to report that demand remains strong, so much so that I am as confident as ever in our investment philosophy around expanding coverage. But we do not have enough resources today deployed to handle all of the demand that's coming our way. So partner enablement is absolutely critical for us in terms of getting that reach and ultimately there will come leverage from that contribution. But it's equally important to continue to add resources that are Splunk-specific to get in front of customers. So we're feeling, and I'll let Doug pile on. I'll represent the collective we. Again, the demand curve that we see is reflected in our guidance, and we feel very confident in terms of just how big the market is and that our opportunity is significant.
Katherine R. Egbert - Piper Jaffray & Co (Broker): Okay, great. I didn't mean to scare you. Thanks.
David F. Conte - Chief Financial Officer & Senior Vice President: It wasn't you, Katherine. It was a lot of the other stuff you see on CNBC.
Operator: Thank you, and we have time for one more question. And our last question will come from Kash Rangan from Bank of America. Your line is now open.
Kash Rangan - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Hey, guys. The good news about going last is that I can ask very long questions. You don't have to worry about me. So one, Dave, can you quantify that the recognized license revenue, what percentage was actually from ratable? That's one thing. And secondly, if you look at the number of customers that are coming up for EAA, that are eligible for EAA-type volume, let's say hypothetically they all converted into EAA. Would you still be able to grow the 32% – 33% that you're forecasting? I promise my final, third, and last question is if all of your licensed revenues were really licensed and didn't have any subscription or ratable element, what would a rough margin profile of the company look like? Instead of the 3% to 4%, what would it look like? Thank you.
David F. Conte - Chief Financial Officer & Senior Vice President: Kash, you know when you ask more than two questions at a time, I always forget one of them.
Kash Rangan - Merrill Lynch, Pierce, Fenner & Smith, Inc.: I'll repeat it, if you don't.
David F. Conte - Chief Financial Officer & Senior Vice President: Thanks.
Kash Rangan - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Please.
David F. Conte - Chief Financial Officer & Senior Vice President: I got it. I got it. I got it. So obviously, with a growing component in the quarter of ratable versus perpetual, the revenue yield was lower than it had been in prior quarters. If that revenue yield was higher; i.e., less ratable, we would have had a notable amount of incremental revenue in the quarter and a corresponding amount of margin at the bottom line for sure.
Kash Rangan - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Any quantification at all, any rough magnitude?
Douglas Merritt - President, Chief Executive Officer & Director: No, and I know you're going to hate this, but we don't disclose today what component of the revenue was ratable either. Obviously, you can see the characteristics between income statement and balance sheet and derive some relationship between how much license contribution is coming off of the balance sheet versus coming from in-quarter business. That said, of course the next question would be well then, Dave, how much of deferred is licensed, which is something else that we don't break out separately, but I'll tell you that it continues to be less than half the balance. So the majority of the balance of deferred is still represented by maintenance and some contribution from cloud. And remember, cloud does not flow through the license line. Cloud is required to flow through the service line. So while we might still be delivering software to our customers, we don't get to call it license revenue. So there's the mix question on how much of the revenue in the quarter was ratable, there was the margin, which you bet, it would have been higher if we had had less ratable. Did I cover all of your questions, Kash?
Kash Rangan - Merrill Lynch, Pierce, Fenner & Smith, Inc.: I think the last one was of every Splunk customer became an EAA customer and you still grow as your revenue 32%, as you guided.
David F. Conte - Chief Financial Officer & Senior Vice President: Every customer became an EAA customer.
Kash Rangan - Merrill Lynch, Pierce, Fenner & Smith, Inc.: How could that be, you opened up the pricing model to everybody. Let's say hypothetically. It's not going to happen, but can you still grow 32% as you guided.
David F. Conte - Chief Financial Officer & Senior Vice President: I haven't actually done the math. I'm going to declare the answer is absolutely yes.
Douglas Merritt - President, Chief Executive Officer & Director: It would be a good modeling effort.
David F. Conte - Chief Financial Officer & Senior Vice President: Yes, it's a good question.
Douglas Merritt - President, Chief Executive Officer & Director: What we see with EAA customers is they certainly opened up the floodgates, again, going back to my comments that there are still infrastructure costs and others involved, and they come back and expand their license. That big transaction that I talked about earlier in my prepared remarks is a great example where they actually came back more than a year in advance and consumed – made sure that they were able to consume significantly more. And that was a transaction that when it was assigned, people thought oh my gosh, that looks like it's just going to cover them forever.
David F. Conte - Chief Financial Officer & Senior Vice President: The prior transaction.
Douglas Merritt - President, Chief Executive Officer & Director: The prior transaction. So what we've seen with, as Dave said, that small body of renewal EAAs is that as long as we and they – that Splunk and the customer continue to work together to understand the use cases, to build the right business value within those use cases, that there's a positive upward cycle within those accounts.
David F. Conte - Chief Financial Officer & Senior Vice President: Yes.
Kash Rangan - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Doug, Dave, and Ken, thank you so much and congrats on the quarter.
Ken Tinsley - Corporate Treasurer and Vice President of Investor Relations: Thanks, Kash. Thanks a bunch.
Kash Rangan - Merrill Lynch, Pierce, Fenner & Smith, Inc.: You bet.
Operator: Thank you. And I would now like to turn the conference back over to Ken Tinsley for closing remarks
Ken Tinsley - Corporate Treasurer and Vice President of Investor Relations: Thank you, Crystal. I appreciate your help today. And thanks, everyone, for your participation. As always, if you have any questions, please contact us directly, and we'd be happy to help. Have a good evening.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a wonderful day.